Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2013 Standex International Earnings Conference Call. My name is Lisa, and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. David Calusdian from Sharon Merrill Associates. Please proceed.
David C. Calusdian: Thank you. Please note that the presentation accompanying management's remarks can be found on Standex's Investor Relations website, www.standex.com. Please see Standex's Safe Harbor passage on Slide 2. Matters that Standex management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's recent SEC filings and public announcements for a detailed list of risk factors. In addition, I would like to remind you that today's discussion will include references to EBITDA, which is earnings before interest, taxes, depreciation and amortization; adjusted EBITDA, which is EBITDA excluding restructuring expenses and onetime items; non-GAAP net income; non-GAAP income from operations; non-GAAP net income from continuing operations; and free operating cash flow. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the company's performance. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in Standex's fourth quarter news release. On the call today is Standex Chief Executive Officer, Roger Fix; and Chief Financial Officer, Tom DeByle. I'd now like to turn the call over to Roger.
Roger L. Fix: Thank you, David, and good morning, everyone. Please turn to Slide 3. We achieved 7.9% revenue growth in the fourth quarter, which was due to the Meder acquisition combined with a slight negative foreign currency effect. On the bottom line, we reported non-GAAP EPS of $1.02 per share, flat with the prior year. Market headwinds across several end markets coupled with difficult comparisons in Engineering Technologies and Engraving, which both had record sales and earnings a year ago, combined to negatively affect our year-over-year growth and margin performance in the fourth quarter. Please turn to Slide 4. For the year, we achieved 10.5% increase in sales, organic sales growth of 2.3% and 8.7% coming from acquisitions. This is partially offset by 0.4% negative foreign currency exchange effect. We also reported a third consecutive record year for non-GAAP EPS, which came in at $3.70 a share, a 9.1% increase from fiscal 2012. We ended the year with a net cash position of $1 million, only the second time that we've ever been in a net cash position in the history of the company. We achieved this after spending $39.6 million to complete the Meder acquisition, completing $14.1 million of capital expenditures, distribution of $3.9 million of dividends to our shareholders and making a $3.3 million voluntary contribution to our defined benefit programs. This highlights the strong cash generation ability of our business. For the year, we generated $4.11 per share in free cash flow from continuing operations, excluding the pension contribution. Please turn to Slide 5, which provides an update on the transformation that we made on the bottom line during the past 4 years. Since 2009, we've grown earnings per share at a CAGR of 29.4%, demonstrating the impact of our lower cost structure and the success of our organic and acquisition growth initiatives. With that, Tom will discuss our fourth quarter results in some detail, after which I'll review the recent performance of each of the business segments. Tom?
Thomas D. DeByle: Thank you, Roger, and good morning, everyone. Please turn to Slide 6, which summarizes our fourth quarter results. Net sales for the fourth quarter increased 7.9% to $183.3 million from $169.8 million in the fourth quarter last year. Excluding special items from both periods, non-GAAP operating income was $18.6 million compared with $19.2 million in the fourth quarter of fiscal 2012. Slide 7 is the quarterly bridge that illustrates the tax-effected impact of special items on net income from continuing operation. These items included tax-effected $0.3 million of restructuring charges in the fourth quarter of 2013. In 2012, there was $0.2 million of restructuring charges, $0.3 million of acquisition-related costs and $0.8 million of nonrecurring tax benefits. Excluding special items from both periods, non-GAAP net income from continuing operations was $13 million or $1.02 per diluted share compared with $13.2 million or $1.02 per diluted share in the fourth quarter of fiscal '12. Turning to Slide 8, you can see our full year 2013 performance. We recorded a 10.5% increase in sales. Non-GAAP operating income grew 10.7% to $68.6 million, and adjusted EBITDA grew 10.6% to $84 million. On Slide 9, we have a reconciliation of net income from continuing operations to non-GAAP net income from continuing operations for fiscal 2013. Excluding special items, non-GAAP net income from continuing operations grew 9.1% to $47.3 million or $3.70 per diluted share. Turning to Slide 10, net working capital at the end of the fourth quarter was $117.6 million compared with $138.3 million at the end of Q3 and $110.4 million at the end of Q4 last year. Working capital turns were 6.2 in the fourth quarter of fiscal 2013, near our historical high and above our target of 6 turns. Looking at Slide 11, we had free cash flow from continuing operations of $42.3 million compared with $28.6 million in Q4 last year. For the year, we generated $52.6 million of free cash flow compared with $43.5 million in fiscal 2012. Slide 12 illustrates our debt management. As Roger discussed earlier, we ended the year in a net cash position of approximately $1 million. This compares with the net cash position of $4.7 million last year. We define net debt as funded debt less cash. Our balance sheet leverage ratio of net debt to capital was negative 0.3% at year end compared with 2% -- negative 2% a year ago and 13% at the end of the third quarter. Our strong balance sheet is well positioned to meet our needs. We continue to have ample financial flexibility to fund future growth, acquisitions and other strategic initiatives. Slide 13 shows our capital spending, depreciation and amortization trends. For fiscal 2014, we expect that our capital spend will be in the range of $17 million to $19 million. The increase in fiscal '14 of $4 million to $5 million in capital expenditures is for technology enhancements to support new product introductions, productivity improvement and cost-reduction initiatives. With that, I'll turn the call back to Roger.
Roger L. Fix: Thank you, Tom. Please turn to Slide 15, Food Service Equipment Group, and I'll begin our segment overview. Sales were up 2.4% at Food Service, with operating income increasing 0.2%. Let's start our discussion on the refrigeration side of the business. Strong sales to national quick-service restaurant chains were substantially offset by softness at drug retail stores, where new store openings continues to be down. We're also seeing a transition in the retail market away from walk-in refrigeration products toward upright merchandising cabinets. Because we believe these trends are long-term, we are taking actions to accelerate our end user market expansion and to introduce new products at lower price points. Penetrating the growing dollar store segment is an important component of our customer diversification efforts, and we've been successful thus far. During the quarter, we began recognizing revenue from the commitment we received last quarter for 50% of the business for endless merchandising cabinets for new stores of a large dollar store chain. This translates between $8 million and $10 million of incremental business during a 12-month period. Other dollar store chains are evaluating our products in test stores, and we're encouraged by our prospects in this market. As we discussed on past calls, we've also taken steps to lower the price point and add features to our merchandising cabinets to enable us to take market share, not only in our traditional retail and drugstore market but also in dollar stores, convenience stores and the dealer channel. Although historically, these products did well in retail drugstore applications, which demanded more robust designs and construction, we haven't been competitive with the cabinets in other end user markets in the past due to price. We're aggressively addressing this issue. For example, over the past several quarters, we completed a value engineering project to reduce part count and weight and a lean overhaul of our manufacturing process for our glass door merchandising product line, which achieved a 25% cost reduction for this product offering. We're planning some redesign and lean efforts on other refrigerated cabinet product lines, which will be launched during fiscal '14. In Cooking Solutions, we had double-digit sales growth related to the traditional restaurant, quick-service restaurant and convenience store segments, but this was offset by the ongoing slowdown in both U.S. and European grocery store segment. We did see some incremental improvement in North America during the quarter, but the weak market conditions in the U.K. are expected to persist. Our custom fabrication businesses continue to do well, with sales and operating income up double digits. Last quarter, we mentioned a product issue at our Procon Pumps business that now has been completely resolved, although that business is still being affected by soft European economic conditions. Please turn to Slide 16. Last week, we announced that we are consolidating our Cheyenne, Wyoming plant into our Mexico facility, as well as into other Cooking Solutions operations in North America. We expect to take a charge in fiscal 2014 in the range of $7.5 million to $8 million. Roughly $3 million of the charge is expected to be a noncash impairment on the building. We anticipate this action will result in savings in the range of $4 million to $4.5 million per year. We expect the consolidation to be substantially completed by the end of fiscal 2014 and to benefit from about 75% of the savings in the first half of 2015 and from the full annualized run rate in the second half of the year. In addition, over the next several months, we'll be opening a new finished goods distribution center for the Cooking Solutions Group located in Dallas, Texas, which we expect will improve customer satisfaction and improve working capital management. Looking at the Food Service Group as a whole, during fiscal 2014, we are undertaking 2 major projects, one in refrigeration to diversify our customer base and introduce new lower-cost products and one in cooking to consolidate our operations to gain significant cost savings. These actions should have a significant effect on our growth and profitability in our Food Service segment beginning in fiscal 2015. Please turn to Slide 17, the Engraving Group. As compared to the record quarter we achieved in the prior year, Standex Engraving Group sales were down 9%, with operating income down 34.6%. Three factors affected our results for this quarter. First, mold texturizing volume was down in both North America and Europe as compared to record levels achieved in the prior year quarter. As we discussed on prior calls, we expect that North American sales in mold texturizing will be strong in fiscal 2014, and we've begun to see the strengthening in the early days of fiscal 2014. The decline in volume had a significant de-leveraging effect on margins as this is a high-fixed cost business. Second, as we discussed in last quarter's call, we continue to see some disruption to shipments and incremental expenses associated with relocation of our facility in Brazil. We believe these disruptions are substantially behind us, and we continue to see good future opportunities in this geography. Finally, margins also were affected by product mix. At both our mold texturing and Innovent businesses, we reported higher levels of lower-margin sales. Looking forward, as I mentioned, we're expecting good growth in mold texturizing sales in North America in fiscal 2014 based on the schedule for major automotive platform launches. Europe should be flat with the record year we reported in fiscal 2013, so we see that as a positive as we expect continued growth out of China. Overall, we expect a very solid year in mold texturizing for fiscal 2014. We're also beginning to see the early signs of a pickup at our roll, plate and machinery businesses as a result of the housing rebound here in the U.S., so we're hopeful there as well. During the quarter, we made good progress in the expansion of our capacity around the world to prepare for future growth in the automotive and nonautomotive texturizing markets. We completed the move into our larger facility in Central Mexico, just north of Mexico City. This region has become a growing center for automotive production, and a number of OEMs, tool makers and Tier 1 auto interior suppliers are opening plants in this region. We also opened our fourth facility in India on schedule, and we'll continue to ramp up production as planned in Korea. Please turn to Slide 18, our Engineering Technologies Group. Engineering Technologies sales were down 5.2% in the quarter as a result of the lower sales to the oil and gas market and the difficult comparison of the fourth quarter fiscal 2012, when we recorded a very large project for offshore floating production platforms in Brazil. Sales to the oil and gas segment carry high margins, so the lower year-over-year sales resulted in a 9.5% decrease in operating income. Our participation in the oil and gas business is largely connected to the timing and funding of large offshore oil and gas production floating platforms, which could be very lumpy in nature. Therefore, these projects will have a significant impact on the year-over-year quarterly performance comparisons for the Engineering Technologies Group. Lower sales to the oil and gas markets mask a strong quarter for land-based turbines, where we saw a good growth across our customer base. Our other markets in the quarter were flat with the strong quarter we reported a year ago. Looking forward, we expect that the oil and gas market in fiscal 2014 will be flat with last year. We have a very good technical and economic solution in this market, and when the projects open up, we are very well positioned. In the space sector, we expect to see good growth on the unmanned flight side with the Delta and Atlas programs, as well as increasing development work on the manned flight side for both NASA and commercial customers. In aviation, we continue to capitalize on demand for wing-based jet engine components and the lipskin portion of the engine nacelle. As background, nacelle is the external housing which covers the jet engine, and the lipskin is the aluminum inlet piece which is located at the very front of the airflow passage into the engine. To this point, most of our lipskin sales were for regional jets. However, we're in the process of securing a long-term contract for the Airbus A320 program that will solidify us as a major player in the lipskin business for larger passenger jets. This contract is for the new version of the A320, and we will ramp up production in the next few years in line with the ramp up of the new aircraft. In addition to this new major contract, we have developmental contracts in both North America and Europe with major aircraft engine OEMs and as supply base for parts that are internal to the engine itself. We'd expect to see production orders at the beginning of calendar 2014, with ongoing growth occurring during the next several years. We also continue to expect good long-term opportunities from the land-based turbine market, where we've done a good job in diversifying our customer base. Overall, we're bullish in the long-term prospects for Engineering Technologies, although the project-based nature of the business often results in lumpy year-over-year quarterly sales comparisons. Please turn to Slide 19, Electronics. Electronics sales were up 106.4%, and operating income increased by 63.5%, driven by the continuing success of our Meder acquisition. Meder continues to perform above our expectation in terms of both sales and cost synergies. Sales are coming in from our cross-selling efforts, and we're encouraged by the prospects for our combined product portfolio going forward. We have a number of new product and customer launches scheduled for 2014 in automotive, white goods and general industrial applications. During the fourth quarter, we completed the consolidation of the Standex electronics facility in Tianjin, China and the Meder sales office in Hong Kong into the Meder manufacturing facility located in Shanghai on schedule. We continue to expect that the total annual cost synergies for the Meder integration will be approximately $4 million. With the plant consolidation behind us, we expect to benefit from the majority of these savings in Q1 and ramping up to the full $4 million run rate by the end of the fiscal year. Please turn to Hydraulics Group on Slide 20. Hydraulic segment sales were up 3.3%, and operating income was up 13.9%. Our growth this quarter was driven by our success in penetrating the roll-off container truck refuse market, which was offset by continued weakness in sales to our traditional dump truck and dump trailer and export markets. We also have a series of new products for the garbage truck refuse market being launched this year, and customer response has been very positive. Dump trailers are primarily used for hauling coal, scrap metals, grain and aggregate for road construction and oil and gas. With the exception of oil and gas, we expect most of these markets to remain weak for the foreseeable future, so we do not expect a sales increase in dump trailers this fiscal year. Dump trucks, which are primarily used on construction sites due to their maneuverability, also have been weak for some time. We have, however, seen some improvement recently due to the beginnings of a housing rebound, but we're not expecting significant growth this year. Meanwhile, the international business has been soft as a result of weak economic conditions in Mexico, Australia and South America. Demand that we've seen in refuse and roll-off markets has necessitated the expansion of our capacity at our Tianjin, China facility, and we expect to complete that expansion in the first quarter of this year. As I mentioned earlier, we've moved Electronics out of that facility into the Shanghai facility provided through the Meder acquisition, and we're now expanding our Hydraulics presence and increasing our capacity for low-cost sales out of the Tianjin facility. Please turn to Slide 21. We spent a good amount of time in our business review today discussing many initiatives that we will focus on in fiscal 2014 to improve our top line, sales growth and profitability. On Slide 21, we've highlighted the key initiatives for each segment. We expect that the work we're doing to introduce innovative new products, penetrate new geographies and markets and capture market share, coupled with our ongoing focus on cost reductions and working capital management, will far in improving our financial results for the long term. Please turn to the summary on Slide 22. We continue to make good progress on a number of strategic initiatives. At each of our segments, we are continuing to make improvements and enhance our margins by leaning out the organization. We're also executing well on a number of organic growth initiatives. We're introducing new products, expanding our end markets and increasing our presence in new geographic territories. We made progress in growing sales in these areas, and we expect to further capitalize on these initiatives in fiscal 2014. At the same time, our acquisition strategy has been very successful, as evidenced this year by our Meder acquisition. Meder has performed above our expectations in terms of both cost and sales synergies. We're encouraged by the number of potential candidates in our acquisition pipeline, and our balance sheet is in excellent condition to support this strategy. So overall, while the conditions in some of our end markets might not be as strong as we'd like, we are very positive about the initiatives we are implementing here at Standex to improve sales, earnings and working capital. With that, Tom and I will be pleased to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of DeForest Hinman with Walthausen & Co.
DeForest R. Hinman - Walthausen & Co., LLC: We had a few questions. Can you just describe to us what a lipskin is exactly?
Roger L. Fix: Again, if you sit in the window seat of, say, the Bombardier regional jet and you look out at the engine, you'll see, I'll call it, a silverly, aluminum-colored component that sits at the very front of the cover around the engine. That silver-colored component is made out of aluminum, and we manufacture that product by taking a flat sheet of aluminum sheet stock into a series of spinning and turning operations to produce that part. So that upfront piece on the cover on the engine is a lipskin.
DeForest R. Hinman - Walthausen & Co., LLC: Okay. And is that a wear part, or is that something that gets sold once and that's it?
Roger L. Fix: It's not a wear part per se. There is damage on that due to bird strikes and other things that would impact that, so there is some replacement business. But it's predominantly driven by new aircraft construction.
DeForest R. Hinman - Walthausen & Co., LLC: Okay. And we've started talking more about getting content on, specifically, this new Airbus, but you also mentioned some internal engine components that we're working on. Is there any way you can give us kind of a number in terms of content per plane that you're thinking about at this time?
Roger L. Fix: Well, before we do that, let's talk a little bit about what we're doing and the value proposition because I think it's very exciting. Historically, a lot of the internal components that go into the, particularly, the exhaust side of a jet engine are made from forgings, which require that the forging, obviously, be purchased from a forge house. And then there is, typically, machining operations conducted on both the inside and outside diameters of the part to come up with the final configuration. Again, much like in a lipskin, where we start with a flat sheet of aluminum stock, in this case, we'll start with a flat sheet stock of high-temperature alloys and we'll then turn the part into a what I'll call near-net shape, which substantially reduces the amount of material that has to be purchased because typically, it will be well less than 50% of the weight of the forging and essentially eliminates most of the machining operations. So our value proposition here is very, very substantial. So as we think about our contribution, it's really more about being able to work with the aircraft OEMs because it does require some modifications as far as replacing the forging. Where our focus has been, there's a whole series of high-efficiency engines being developed and launched by Rolls-Royce, by General Electric and by Pratt & Whitney, the 3 major jet engine manufacturers, and they're, all 3, very, very intrigued by the value proposition that we're able to provide them. So as we think about it, it's going to be predominantly on the new engines that are being launched as we speak. We think this could be a $5 million to $10 million business in, say, 3 to 4 years.
DeForest R. Hinman - Walthausen & Co., LLC: Okay. And in terms of what's going on in that segment right now, are you seeing any engineering programs that are kind of slowing down or winding up? Or is there kind of a runway in place with some of these newer programs, where we could see kind of a continued organic growth out of that segment?
Roger L. Fix: We're seeing -- I kind of have to go segment by segment, but we're seeing substantial growth opportunities in the space side, both unmanned, or what we call satellite launch vehicles, as well as manned. United Launch Alliance, which, again, is the combination of Boeing and Lockheed's heavy launch programs, have a very aggressive flight launch program over the next 4 or 5 years. We're seeing good growth on that side. NASA continues to pursue their next-generation vehicles, which, unlike the space shuttle, will be traditional, looking much like the Delta IV and Atlas V programs, where, again, we have a dominant position. So on the manned side and the unmanned side, we see really good growth opportunities over the next several years. We've seen decent recovery in the land-based turbine side, which has been one of our largest segments historically. And we've talked about the jet engine opportunities, both internals of the engine and the lipskin. So yes, we don't really see a slowdown in that segment. These are typically longer lead programs, programs that have -- or typically, like a program where you have -- once you're on and qualified, you have a 10- to 15-year run, so to speak.
Operator: Your next question comes from the line of Jason Nacca with Sidoti & Company.
Jason Nacca - Sidoti & Company, LLC: My first question is regarding the charge that you'll be taking in fiscal 2014. Will that be spread out evenly, or we'll be seeing concentrated in 1 quarter, that $7.5 million to $8 million?
Roger L. Fix: It won't be spread evenly per se. It goes -- in the new world of restructuring charges, you take the charge as you crystallize the liability. So I think you'll begin to see us take some of that charge in the first quarter, but you'll see bits and pieces of it taken, really, every quarter through fiscal '14.
Thomas D. DeByle: But the noncash charge of the $3 million for the building will be in the first quarter.
Jason Nacca - Sidoti & Company, LLC: Okay, all right. And also, could you give me an idea of how much CapEx there will be in the first half of the fiscal '14? Just given also the opening of the new finished goods distribution in Dallas in the next couple of months, I'm wondering what kind of weight we'll be looking for in the first half.
Roger L. Fix: I would say it's probably going to be about half. We have a fair amount of the CapEx spend that Tom talked to that's carryover from the prior year the point we're finishing up the building in Mexico for the Electronics Group. There's a fair amount of capital that we're spending this year that's associated with the Cheyenne consolidation, so that's heavily front end-loaded. So I think roughly speaking, I think half and half isn't a bad approximation.
Jason Nacca - Sidoti & Company, LLC: Okay. And also going to the Engraving segment, as volume starts to return on fiscal '14, do you expect Engraving operating margins to kind of come back to the 18%, 19%?
Roger L. Fix: Yes, we don't see any structural changes to the business in terms of pricing or margin deterioration, so I think you're exactly right. As volume comes back, there's no reason to believe that the margin won't come back appropriately because again, there's been no real change in the market. We've been on a very solid run in Engraving for the last, really, 2.5 to 3 years. If you were to go back prior to that time frame, we made a point that these platform launches are, again, lumpy. They can be strong in a given quarter then weak in the next quarter. And I think what we've seen over the last 3 years has probably been kind of consistent strength across the globe. Fourth quarter probably is more representative of kind of the typical, some quarters are stronger than others.
Jason Nacca - Sidoti & Company, LLC: Okay. And now staying with the Engraving segment, I mean, I believe that you can see some visibility, knowing that fiscal '14 was going to be pretty strong. So I'm trying to get a better idea of how the orders will play out quarterly, like what kind of variability we'll be seeing in these orders just in the Engraving segment?
Roger L. Fix: Well, that's extremely difficult because we track these orders or we track these projects, I should say, really, on a quarterly basis, and we're at the tail end of the process. In other words, the tooling that we are texturizing is typically completed within a matter of months before the actual platform is launched. So there's a lot of upstream variability in terms of what the OEM is doing and the design and finalizing the design, the finalization by the Tier 1 in terms of what they need for tools and in the toolmaker. So there's a lot of variability. But I would say that, as I mentioned in the script, we are beginning to see some strengthening here in North America in the first couple of months of Q1. So I'd expect us to be fairly strong in North America, really, throughout the year.
Jason Nacca - Sidoti & Company, LLC: Okay. And going to the food tech -- Food segment, as lower drug retail sales continue to really weigh on margins on the Food Service Group, can you kind of conclude what kind of margins you'd be seeing in the first half of '14 before -- in the Food Service Group before we start seeing some cost savings derived from the consolidation of that Wyoming plant?
Roger L. Fix: Again, what we said was that we really don't expect any of the savings to come through Wyoming until the early part of fiscal '15. We won't complete the move out of Cheyenne until late in the fourth quarter of fiscal '14. So what we're really signaling is that we don't expect to see any real significant cost savings coming out of the consolidation this year. But we expect, as we go into next year, that we'd begin to see a significant portion of that $4 million. We mentioned that our estimate is 75% of that $4 million to $4.5 million annual rate would be recognized in the first half of fiscal '15 and the full run rate in the second half of '15.
Jason Nacca - Sidoti & Company, LLC: Okay. And my last question is on the glass door merchandising cabinet redesign. I'm just trying to get an idea of how long is that going to take to really roll out to customers and how quickly you see them really taking over using some of those lower-cost...
Roger L. Fix: A good question. The product was launched in sort of the late May, June time frame, so it's out in the market. And the take-up to the point that you raised really comes in 2 forms. One is in the dollar store segment, in particular, even in convenience stores, typically, there's a request for quote that's put out from time to time by these large chains, and then we will have the opportunity to quote a new product, which we have already quoted on several opportunities already. They have not all been awarded yet. So that will be -- it will driven by, again, RFQs coming out of the large chains. And the other avenue is through the dealer channel, which will take, I would think, several quarters before they begin to really recognize the value proposition that our product offers.
Operator: Your next question comes from the line of Jamie Wilen with Wilen Management.
James Wilen - Wilen Management Co., Inc.: Further on the plant consolidation, you're obviously taking one plant off and moving it into Mexico. What percentage of capacity had you been running in the Food Service Group, and where will you be next -- where will you be subsequent to the Wyoming close?
Roger L. Fix: In the Mexico facility, Jamie, in particular, or across...
James Wilen - Wilen Management Co., Inc.: Overall, within that group. Or do you have room, if the market grows, to still add capacity within your existing footprint?
Roger L. Fix: Oh, yes, absolutely. Again, it varies. Each of our plants is very product-specific, so it's not useful to generalize because you can't move products, typically, between plants. But for example, the 2 refrigeration plants are working basically 1.5 shifts, pushing to 2 shifts during the busy season, or down to about a shift during the winter season. The cooking area right now in Mexico, we're probably -- we're on 2 shifts in fabrication, 1 shift in assembly. But we're adding laser capacity in fabrication that will give us more capacity there. So I don't see a footprint issue in any of our facilities. What we are doing is spending capital. I mentioned we're adding a laser to Mexico. We're adding another laser to our fabrication business. We're adding a form press and other forming equipment to our Nor-Lake refrigeration business. So inside the current footprint, we're adding capital equipment to increase capacity and reduce costs, so we feel pretty comfortable about our ability to stay up with it.
James Wilen - Wilen Management Co., Inc.: Perfect. And the Meder synergies that are coming through, you say we're going to -- in the first quarter of this fiscal year, we'll be close to running that $4 million annual run rate. Where were we in the fourth quarter of the fiscal just ended? How much of a jump up is there in the first quarter? It this fully gradual?
Roger L. Fix: Well, here's what's difficult about it, Jamie. The plant savings are incremental and will occur in the quarter following the closure. There will be some productivity improvements that'll occur over time, so it will be a small ramp. But where we really have difficulty predicting is on the purchasing savings because the way our purchasing works, we put the purchase price variance on the balance sheet, and it's allocated out over time. So long story short, we're probably at 60%-plus as we go into the first quarter. That's a really rough guess on my part. And then ramping up. Pretty good purchasing savings take about 3 to 4 months to roll out through the balance sheet onto the P&L, so that would carry well into the second half of this fiscal year.
James Wilen - Wilen Management Co., Inc.: Okay, perfect. Obviously, we've got a balance sheet to make any acquisition you could possibly dream of. First, are you looking in all your various businesses for acquisitions? And secondly, where are the EBITDA multiples that you can purchase things at most favorable, so where could we be more likely to look for acquisitions?
Roger L. Fix: We are looking across the board. And I think you have a very perceptive question. I'll just add to it. Not only are there issues about varying multiples by segment, but there's also an issue of availability of potential targets. So although we're looking across the board, what we find is that the multiples and availability of targets is probably the best in our Electronics Group, where the market is still very, very fragmented. Multiples in the Food Service side, and I'm sure you're well aware, have been bid up pretty high over the last couple of years. The other area that probably has moderate multiples but we think there's probably a more rich environment of targets is in the Engineering Technologies area. So I think to kind of back into answering your question, although we're looking across the board, the Engineering Technologies and Electronics areas are probably the more likely scenario just because of multiples and target availability.
Operator: There are no additional questions. I would now like to turn the presentation back over to Mr. Roger Fix for closing remarks.
Roger L. Fix: We thank everyone for their attendance to the conference call and for your questions, and we look forward to talking to you next quarter. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.